Operator: Good day, and welcome to the Danaos Corporation Conference Call to discuss the financial results for the three months ended September 30, 2016. As a reminder, today's call is being recorded. Hosting the call today are Dr. John Coustas, Chief Executive Officer of Danaos Corporation; and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Mr. Coustas and Mr. Chatzis will be making some introductory comments and then we will open the call to a question-and-answer session. At this time would like to turn the conference over to Mr. Chatzis, Chief Financial Officer.
Evangelos Chatzis: Thank you operator. Good morning everyone and thank you for joining us today. Before we begin I quickly want to remind everyone that management remarks this morning may contain certain forward looking statements and that actual results could differ materially from those projected today. These forward looking statements are made as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review these detailed safe harbor and risk factor disclosures. Please also note that where we feel appropriate we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and the accompanying materials. Now let me turn the call over to Dr. Coustas who will provide the broad overview of the quarter.
John Coustas: Thank you, Evangelos. Good morning and thank you all for joining today's call to discuss our results for third quarter 2016. We reported our results for third quarter 2016 in the aftermath of the bankruptcy of Hanjin Shipping, one of Danaos large customers. As a result of the bankruptcy, we did not recognize any operating revenues for the vessels that had been charted to Hanjin during the quarter. This reduced our operating net revenues by 24.8 million and was the main contributor to the 21 million reduction in our adjusted net income to 22.8 million compared to an adjusted net income of 43.8 million the third quarter of 2015. Setting aside the significant effect of the Hanjin bankruptcy on our operating revenues and our bottom line, we have otherwise managed to improve our adjusted net income by 3.8 million, mainly due to 10.2 million improvement in net financing course resulting from continued deleveraging of balance sheet, interest rate swap expiration and 1.3 million reduction in total operating expenses which was partially offset by 8 million reduction in operating revenues attributed to lower fleet utilization, the sale of the Federal during first quarter and lower re-chartering rate for certain of our vessels in a softer charter market. As a result of the Hanjin bankruptcy, we also recorded the write-off of 15.8 million representing the outstanding charter hire owed to us by Hanjin as of June 30, 2016. Additionally, principally as a result of the effect of the cancellation of the Hanjin charters, the company was in breach of certain financial covenants of September 30, 2016 for which we've obtained waivers until April 1, 2017. Because the waivers offer a period of 11, 12 months, all the debt has been classified as current on September 30. Notwithstanding the negative consequence of the Hanjin bankruptcy, the company is currently in a position to fully service all operational and contractual financial obligations. All the Hanjin vessels have been discharged and redelivered to us. And we have already re-chartered five 3,400 TEU vessels at market rates while we're still in negotiations to charter the remaining three 10,100 TEU vessels which we expect to be deployed after the end of the first quarter of 2017. During the third quarter, we sold the shares that the company had received as compensation pursuant to the HMM restructuring for a consideration of 38.1 million. This constitutes a 98% recovery of the 39 million charter hire concession for which we were compensated with HMM shares. Despite the effective recovery at par on a cash basis, we recorded a non-cash accounting loss of 12.89 million on the sale of the shares reflecting the difference between the book value and the sale price of the shares which has been included within our adjusted net income calculation. Danaos continues to have low near-term exposure to the weak spot market compared to current operating revenues with 95% charter cover in terms of third quarter operating revenues and 79% in terms of contracted operating days for the next 12 months. Additionally, our continued focus on cost containment has reduced our daily operating costs to $5,462 a day for the third quarter, a decline of nearly 4% versus the same period in the prior year. This clearly positions us as one of the most efficient operators in the industry, which is particularly beneficial in today's environment. Amidst this challenging economic environment we will remain singularly focused on preserving value, de-levering our balance sheet, managing our fleet efficiently and capitalizing on the resilience of our business model. With that I’ll hand over the call back to Evangelos who will take you through the financials for the quarter.
Evangelos Chatzis: Thank you and good morning again to everyone. I will briefly review the results for the quarter and we will then open the call to questions. During the third quarter of 2016, we had an average of 55 containerships compared to 56 containerships for the third quarter of 2015. Danaos also holds a 49% interest in Gemini Shipholdings Corp, an entity formed during the third quarter of 2015 but has acquired four container ships. Our adjusted net income was $22.8 million or $0.21 per share for the quarter compared to $43.8 million or $0.40 per share of adjusted net income for the third quarter of 2015. This 21 million decrease is mainly attributed as mentioned earlier to a 24.8 million lower operating revenues due to cessation of revenue recognition for the eight ex-Hanjin vessels and lower operating revenues of 8 million attributed to the softer charter market and the sale of the Federal during the first quarter of the year. Both of the above partially offset by an improvement in net finance cost of 10.2 million and an improvement in total OpEx of 1.3 million. We have adjusted our net income in the current quarter mainly for a bad debt expense of 15.8 million representing the outstanding charter hire owed to [indiscernible] at the end of the second quarter and accounting non-cash loss on the sale of HMM securities of 12.9 million, and realized gains on derivatives of 1.6 million and non-cash finance fees amortization charge of 4 million. More specifically on the P&L. operating revenues decreased by 22.7% or 32.8 million to 111.8 million in the current quarter compared to a 144.6 million in the third quarter of 2015. These decreases attributed to 24.8 million of lower revenues as a result of the Hanjin bankruptcy, 1.1 million due to the sale of Federal in the first quarter, 4.5 million of lower revenues due to re-chartering of certain vessels at lower rates and 2.4 million of lower revenues due to lower fleets utilization between the two quarters. Vessel operating expenses decreased by 5.7% or 1.6 million to 26.6 million in the current quarter compared to 28.2 million for the third quarter of 2015, mainly as a result of the decrease in the daily operating cost per vessel to $5,462 per day this quarter from $5,669 per day in the third quarter of 2015, an improvement of 3.7%. G&A expenses remained stable at 5.5 million for both the current quarter and the third quarter of 2015. Interest expense excluding amortization of deferred finance costs increased by 0.3 million to 17.9 million in the current quarter compared to 17.6 million in the third quarter of 2015 as a result of higher LIBOR rates which averaged at 73 basis points in the current quarter versus 30 basis points in the third quarter of 2015. This increase in LIBOR [Technical Difficulty] persistent efforts to delever our balance sheet. And it has to be noted that since the end of the third quarter of 2015 we have reduced our indebtedness by 247.6 million while debt amortization for the fourth quarter will be a further $89 million. Realized losses on interest rate swaps decreased by 10 million to 2.2 million in the current quarter, a decrease of 82% when compared to losses of 12.2 million for the third quarter of 2015. This decrease is attributed to approximately 0.4 billion of lower average notional amount of swaps between the two quarters as a result of swap expirations. Finally, adjusted EBITDA decreased by 29.3% or 31.3 million to 75.5 billion in the current quarter from 106.8 million in the third quarter of 2015 for the reasons outlined earlier on this call. With that, I would like to thank you all for listening to this first part of our call. Operator, we are ready to open the call to Q&A.
Operator: [Operator Instructions] And it appears that we have no questions at this time. I would like to turn the call back over to Dr. Coustas for any further comments or closing -- I’m sorry. We do have a question that just came in. It will be from Mark Suarez of McQuilling Holdings. Please go ahead.
Mark Suarez: Hi there, gentlemen. Thanks for taking my call. It’s been a very interesting, I guess, landscape over the past three to four months and I’m wondering what your sense is of the market, given all these different consolidations we’ve seen over the past two to three weeks and what the impact could be beyond 2017? We’ve seen sort of this thing play out in the past and I’m wondering if you’re sensing maybe a different dynamic as we head into 2017.
John Coustas: Well, Mark, as far as the liner companies are concerned, definitely there is a better dynamic. We see that rates are holding up. The latest increase is Europe, Far East is doing well. And we believe that the stronger market will definitely benefit the stability of our counterparties. In terms of the charter market, it’s still in the doldrums. It’s all these stock of the ex-Hanjin ships that is out there looking for employment. And we do not really see anything significant happening. We will have much better clarity in the first quarter when all the alliances will finalize their schedules and their requirements, but with the current oversupply, especially in the Panamax segment, there is really nothing much that one could expect.
Mark Suarez: Okay. And just if I can follow-up if you will on the Hanjin situation, I know you’ve renegotiated the 3500 vessels and I’m wondering if you can give us a sense as to what range you’re able to attain for those vessels and also on the post Panamax, 10000 TEU, I think you mentioned you’re looking to find employment for that come 2017 and if you have a sense to settle the timeline as to when you would be able to achieve employment for those?
John Coustas: I don’t know. It’s very difficult to give, let’s say, a specific date. Everyone that we’ve been talking is still in the sidelines and I presume that we will start having more firm discussions early in the New Year, I mean within January or February, but as I said, we do not expect these ships to be employed in the first quarter.
Mark Suarez: Okay. Got you. And then finally on the operating expenses, every quarter, you seem to be making improvements not only year-over-year, but also sequentially, and I’m wondering if you think this is a good run rate as we move forward, I know you’ve just done a pretty good job on the cost side and I’m just wondering if you feel this is a good run rate or do you see any costs maybe creeping in back in 2017?
John Coustas: I don’t think really that we will have creeping back of course. The, of course, the rates that we are reporting have a combined effect of actual savings, but also foreign exchange effect from the devaluation of the euro, because we have a number of percentage of our operating expenses in euros. The price of oil of course is important, because it affects lubricants. So these are the main exogenous factors that are at play.
Mark Suarez: Okay. Well, listen, I appreciate the color like always. Thanks for your time.
Operator: [Operator Instructions] And it appears that we have no further questions at this time. I would like to hand the conference back to Dr. Coustas for any further comments or closing remarks.
John Coustas: Yes. Thank you, operator. Thank you all for joining this conference and for your continued interest in our story. We look forward to hosting you in our next earnings calls. Have a nice day.
Operator: Thank you. Ladies and gentlemen, the conference has concluded. Thank you for attending today’s presentation. We thank you for your participation and have a wonderful afternoon.